Operator: Good day, everyone, and welcome to Air Products and Chemicals Third Quarter Earnings Release Conference Call. Today's call is being recorded at the request of Air Products. Please note that this presentation and the comments made on behalf of Air Products are subject to copyright by Air Products and all rights are reserved. Beginning today's call is Mr. Simon Moore, Vice President of Investor Relations. Please go ahead, sir.
Simon R. Moore - Air Products & Chemicals, Inc.: Thank you, Vicky. Good morning, everyone. Welcome to Air Products third quarter 2018 earnings results teleconference. This is Simon Moore, Vice President of Investor Relations. I'm pleased to be joined today by Seifi Ghasemi, our Chairman, President and CEO; Scott Crocco, our Executive Vice President and Chief Financial Officer; and Sean Major, our Executive Vice President, General Counsel and Secretary. After our comments, we'll be pleased to take your questions. Our earnings release and the slides for this call are available on our website at airproducts.com. Please refer to the forward-looking statement disclosure that can be found in our earnings release and on slide number 2. Now, I'm pleased to turn the call over to Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Simon, and good morning to everyone. Thank you for joining us on our call today. We certainly do appreciate your interest in Air Products. The talented, committed, and motivated team at Air Products delivered another excellent set of safety and financial results. Our record adjusted earnings per share of $1.95 is up 18% versus last year. This is the 17th consecutive quarter that we have reported year-on-year EPS growth and the fifth consecutive quarter we have delivered year-on-year EPS growth of more than 15%. We continue to be the safest and most profitable industrial gas company in the world with a record quarterly EBITDA margin of over 36%. We continue to generate significant cash, which supports our robust dividend policy. And we do have the strongest balance sheet in the industry, which gives us the ability to commit a significant amount of capital to grow Air Products in the coming years. And most important, we have a great team of hardworking, dedicated, talented, and committed people at Air Products, who have stayed focused on working hard every day to serve our customers and create value for our shareholders. Now, please turn to slide number 3. We continue to improve our safety results with a reduction of 67% in our lost time injury rate and a reduction of 52% in our recordable injury rate. These results can only happen when all of our 15,000 employees around the world are committed to safety and continuous improvement. On slide number 4, you can see our goal for the company, to be the safest, most diverse and most profitable industrial gas company in the world, providing excellent service to our customers. And I want to emphasize that the most diverse in our goal refers to our people. We value a diverse workforce. Now, please turn to slide number 5. You can see our overall management philosophy that we have talked to you about many times over the last four years. But it is worth repeating because we continue to be focused on shareholder value, capital allocation, and an empowered and decentralized organization. Now, please turn to slide number 6. It was almost four years ago that I shared our original Five-Point Plan: we have successfully focused on Air Products' core industrial gases business; we have restructured the organization; changed the culture; controlled capital and costs; and aligned our rewards. We have done what we promised to do. Now, please turn to the slide number 7. Our journey is never complete, and it's time to evolve our Five-Point Plan to guide us over the coming years. Let me explain each of the points on this slide one at a time. First, from the left side, in terms of sustaining our lead, we will keep our focus on safety. We have done well, but even one injury is too many. Accidents don't happen by themselves. Every incident or accident is preventable. We want to be the best-in-class in everything we do. We need to be the best-in-class operationally, for example, to make sure our plants are running all the time. The same thing with our human resource processes, financial processes, safety processes. Everything that we do, we should aim to, and we will be, the very best in the industry. And productivity, we obviously need to continue to focus on productivity to maintain our margins. Second, in terms of deployment of capital, as you have heard me say before, we believe that we have at least $15 billion of capital to commit over the next five years. This includes cash and debt capacity available today and the investable cash flow we expect to generate in the next five years. I remain very confident – and I like to repeat this – I remain very confident that we will be able to commit the full $15 billion to very high-quality industrial gas projects over the next five years. It is obviously to know exactly what will be the breakdown of the $15 billion, but based on our view today, I could see something approximately $1.5 billion for acquisitions of industrial gas companies; $2.5 billion for asset buybacks, $4 billion for traditional industrial gas projects such as new liquid oxygen and nitrogen plants, packaged gas depots, high purity nitrogen generators, and smaller-scale oxygen and nitrogen plants, and then about $7 billion for large-scale energy, environmental, and emerging market projects, including coal gasification. We continue to execute on our overall growth strategy, acquiring the Shell gasification technology and closing on the Lu'An project in the past quarter. The third point is the evolution of our portfolio. Most of the types of the projects I mentioned before are in our onsite business. These are the very large projects around the world. To be clear, we do intend to continue investing in our merchant business when we see good opportunities to invest in liquid capacity around the world. And the same goes for packaged gas opportunities in locations where we are already in that business. However, given the relative size and number of onsite opportunities, I expect the onsite portion of our portfolio will grow faster, which means more of Air Products will be the onsite business in the future. This is good because the onsite business is very stable during the ups and downs of the economic cycle around the world. Fourth, in terms of changing the culture, this remains a focus of our original Five-Point Plan that requires more work. We have to continue to improve our 4S culture, meaning safety, simplicity, speed, and self-confidence. We will work to further build a committed, diverse and motivated team that brings their positive attitudes and open minds to work every day. And finally, on the last point on the chart on the right, at Air Products, we do have a higher purpose in addition to creating value for our shareholders. The higher purpose is to create an open and diverse environment for all of our people so that everyone feels that they belong and their contribution is recognized. In addition, all of us at Air Products are committed to make good products that benefit all humanity. And we certainly are committed to sustainability. In summary, at Air Products, we do want to do more than just making money. As I said, we are proud of what we have accomplished with our original Five-Point Plan and are confident that we will continue to deliver with our updated Five-Point Plan as delineated on this slide number 7. Now please go to slide number 8, which shows the result of our three key metrics for the quarter. We remain committed to our goal to be the most profitable industrial gas company in the world as measured by each of these three key metrics. Now please go to slide number 9. Since I started as the Chairman, President, and CEO of Air Products more than four years ago, I have stressed the fact that we are committed to deliver at least 10% per year growth on our EPS over the long term. You can see that we have delivered better than that in the last four years. And we will continue to pursue strategies which will drive our EPS by at least 10% over the coming years. We are very committed to that. Finally, please turn to slide number 10, which is always my favorite slide, especially this quarter. It is great to see our record margin of 36.3% and the progress we have made over the last few years. Now, I would like to turn the call over to Mr. Scott Crocco, our Executive Vice President and Chief Financial Officer, to discuss our results in detail. Scott?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you very much, Seifi. Before I review our results, I want to provide an update on our external independent auditors. Air Products has had a long and productive audit relationship with KPMG since 2002. Given their tenure of 16 years as our auditors, the Audit and Finance Committee of our Board felt it was a good governance practice to initiate a competitive process earlier this year. I am pleased to share that after a full and rigorous evaluation, Deloitte & Touche will be Air Products' external auditor beginning with our fiscal year 2019. KPMG will continue as our auditor through the completion of our fiscal 2018 audit. I would like to emphasize that this decision was not the result of any disagreement with KPMG and that there are no issues with Air Products' financial statements or controls. I would like to thank the KPMG team members we have worked with over the years, and I look forward to working with the Deloitte team. Now, please turn to slide 11 for our Q3 results from continuing operations. Sales of $2.3 billion increased 6% versus last year on 3% higher volumes, 1% higher price, and 3% higher currency. We saw solid volume increases across all three regions, partially offset by lower activity from the Jazan project in Global Gases. Excluding Jazan, volumes were up 7% with about 5% from new plants. Sequential volumes were up on strength in Americas and seasonality in Asia. Versus last year, pricing was up 1%, primarily driven by the China and Europe merchant businesses. Positive currency was driven by the euro, British pound and the Chinese RMB. EBITDA of $820 million improved by 13%, driven by the higher volumes, positive pricing, currency and equity affiliate income. EBITDA margin of 36.3% was up 220 basis points. Net income was up 19% and adjusted earnings per share were up 18% versus prior year. ROCE of 12.2% was flat versus last year as our significant profit increase offset the larger denominator which increased as a result of the gain from the PMD sale in early 2017. The denominator is based on the five-quarter average. Q3 FY 2018 has five quarters that include the PMD gain, while Q3 of FY 2017 only had two quarters with the PMD gain. You can see the real improvement more clearly in the sequential 40-basis-point increase. Please turn to slide 12. Our record adjusted Q3 continuing operations EPS of $1.95 increased $0.30 or 18% versus last year. Overall, higher volumes increased EPS by $0.18 per share. Price and raw materials taken together increased EPS by $0.04. Net cost performance was unfavorable at 0.08 as productivity was again offset by a few factors including planned maintenance costs, inflation, and the end of the cost reimbursement for our Port Arthur CO2 capture project. We also continued to see higher costs in strategic areas focused on pursuing our exciting growth opportunities. Currency and foreign exchange was $0.05 favorable primarily due to the euro, British pound, and the Chinese RMB. Equity affiliate income added $0.05 primarily due to underlying strength in Mexico and Italy. The overall tax rate was a $0.12 benefit versus last year. The lower tax rate from the new Tax Act increased EPS by about $0.10, which is more than previous quarters due to higher profit contributions from our U.S. business. For the full-year 2018, we now expect to see a tax rate slightly above 19%. Non-controlling interest was a $0.04 headwind. This is primarily due to a gain shared with our partner, which resulted from a customer terminating a contract for an old flue-gas desulphurization plant, which is a consolidated JV for Air Products. Interest expense, shares outstanding, and other non-operating income totaled $0.02 unfavorable. Now please turn to slide 13. We had another strong cash flow quarter, with over $500 million of distributable cash flow and almost $300 million of investable cash flow. On a last 12 months basis, you can see we generated over $3 billion of EBITDA and over $2 billion of distributable cash flow. From the $2.2 billion of distributable cash flow, we paid $864 million or almost 40% as dividends. This leaves over $1.3 billion available for high return investments in our core industrial gas business. Turning to slide 14, I would like to update you on the capital deployment capacity available for these exciting opportunities that Seifi mentioned. As of June 30, we have about $3 billion of cash in short-term investments. Our debt balance as of June 30 is about $3.9 billion. As we have shared many times, we have an active dialogue with the rating agencies and are committed to managing our debt balance to maintain our current targeted A/A2 rating. If we move (19:10) our debt level to about 2.5 times EBITDA, this would allow us to borrow an additional $4 billion. So, in total, we have about $7 billion we can deploy today, while maintaining our A/A2 rating at a debt level of 2.5 times. This capacity increases to about $8.5 billion at a debt level of three times EBITDA. In addition, we have been and expect to continue to generate over $1 billion per year of investable cash that is after paying taxes, interest, maintenance CapEx and dividends. So, over the next five years, we expect to have $15 billion available to invest, which does not include extra capacity from the cash flows from new profitable projects. Now, to begin a review of our business segment results, I'll turn the call back over to Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Scott. Now, please turn to slide number 15, our Gases Americas, where we continue to deliver strong sales and profit growth. Sales increased 16% versus last year, driven by higher volumes, positive pricing and favorable currency impact. Volumes were up 6% excluding the impact of the one-time equipment sale last year – volumes were actually up 16% if you exclude the equipment sale, as I said. New projects were responsible for about three-quarters of this 16% increase, while gases business and acquisitions, they're roughly equal to the rest of the business. I believe at the beginning, I said Gases Americas. I meant Gases Asia, so there's no confusion. I'm talking about our business in Asia. I wish our Americas business revolved around (21:14) 16%. That is not the case. Okay. Pricing for the region was up 4% versus last year, the fifth consecutive quarter of year-on-year improvement, which was primarily driven by better supply-and-demand situation in China's merchant market. Strong volumes, higher pricing and favorable currency more than offset the prior-year equipment sale headwind and drove the nearly 30% increase in EBITDA. EBITDA margin was strong and up 400 basis points. Sequentially, both volume and price increased as China emerged from the Lunar New Year holiday. As mentioned in our last call, we closed the Lu'An project during quarter three. The team is making great progress as we bring the four gasifier trains on stream in stages. As we shared in April, we still expect about $0.04 earnings per share contribution in fiscal year 2018 and we expect the plant to be at full-run capacity by the end of September and therefore expect at least $0.25 per share of accretion in 2019 from the Lu'An project. Now, I would like to turn this call back to Scott to discuss our Americas result, please.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you, Seifi. Please turn to slide 16 for a review of our Gases Americas results. For the quarter, sales grew 2% with 6% higher volumes, partially offset by lower energy cost pass-through. Hydrogen demand remained strong and our new plant in Baytown, Texas supported increased sales. Underlying merchant volumes were positive, partially offset by a wholesale contract we terminated in Q4 of FY 2017. Excluding this, our overall volumes would have been up 8%. The overall pricing impact was flat as higher North American prices were offset by negative mix. This negative mix, for example, includes higher U.S. government helium sales that are lower than average prices. EBITDA was up 4% compared to prior year, driven by higher volumes partially offset by higher costs. As we communicated last quarter, we had higher planned maintenance costs as we performed life extension work on several older hydrogen plants to support contract renewals. Our team executed a significant amount of work safely and effectively. And as I mentioned earlier, we no longer have the cost reimbursement for our Port Arthur CO2 capture project. However, as expected, partially offsetting these higher maintenance costs was a gain associated with a customer terminating a contract for an old flue-gas desulfurization plant. We also saw improved equity affiliate income with strong results in Mexico. EBITDA margin was up 80 basis points due to the positive margin impact of the lower energy cost pass-through. As we move into Q4, we expect maintenance costs to be lower sequentially but higher than prior year since maintenance activities were significantly lower than average in Q4 last year. Now, I would like to turn the call back over to Simon to discuss other segments. Simon?
Simon R. Moore - Air Products & Chemicals, Inc.: Thank you, Scott. Please turn to slide 17 for a review of our Gases EMEA results. Sales increased 24% primarily driven by a strong 12% volume increase. Price improved 3%, while energy pass-through and currency were up 2% and 7% respectively. Demand for hydrogen in the EMEA region was also strong. Our new hydrogen plant in India, onstream during a portion of Q3 last year, drove about 10% of our volume growth, and our Rotterdam franchise also contributed. As a reminder, the India plant was fully onstream in Q4 last year, so we don't expect a year-over-year benefit in Q4 of FY 2018. Base merchant volume improved 2% supported by liquid bulk and packaged gases growth and a few small acquisitions. The robust activity in the merchant market also translated into higher pricing. The 3% uplift in price was predominantly due to a pricing action success in packaged gases. This represents our best pricing performance in many years. EBITDA was up 19% compared to prior year, primarily from the new plant in India and further supported by higher merchant volume, positive price, and favorable currency. EBITDA margin of 33% was down 160 basis points. However, excluding the new plant in India, which has comparatively high natural gas costs and other energy pass-through, EBITDA margin was actually up over 100 basis points. Now, please turn to slide 18 for a brief comment on our Global Gases segment, which includes our air separation unit sale of equipment business as well as central industrial gas business costs. Sales and profits were down as we get closer to the end of the Jazan sale of equipment project. We continue to expect this to result in lower revenue in FY 2018, while we now also expect profits to be down slightly for the year. We continue to make great progress on the Jazan project and, as we have said, expect onstream in phases early in fiscal 2019. Now, please turn to slide 19 for a brief comment on our Corporate segment, which includes our LNG business, our helium container business and our corporate costs. Although LNG project activity remains weak, sales increased slightly compared to prior year, but overall segment profits were flat. We continue to see signs of renewed interest in future LNG projects, but do not expect this to translate to an earnings tailwind in the near future. Now, I'm pleased to turn the call back over to Seifi for a discussion of our outlook.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Simon. Our team around the world is very excited about Air Products' future. Our safety, productivity and operating performance continue to provide the foundation of our continued growth. And the evolution of our Five-Point Plan provides the framework to drive our success going forward. As I said before, we have the financial capacity, the opportunities and the team to successfully win key growth projects. Let me just address the current state of global trade relations and tariffs. Very simply, we have not – I'd like to stress – we have not seen any impact on Air Products at this point. Our business is local, so we don't have any direct exposure to import-export tariffs. We have not seen consumers changing their behavior. And as I mentioned earlier, we are very pleased to close the Lu'An joint venture in China earlier this quarter as we expected. There is no doubt that there is uncertainty in the world. And while we cannot predict or control worldwide political or economic developments, we do have control over the operational performance and growth of Air Products, and we are confident we will continue to deliver on the commitments that we have made. Now, please turn to slide number 20. We are working hard every day to be the safest, most diverse and most profitable industrial gas company in the world, providing excellent service to our customers. That continues to be our goal. Continuing our positive momentum, we have again increased our guidance for the year to a range of $7.40 to $7.45. At midpoint, this is up $0.10 from the guidance we gave you last quarter. Our new guidance represents 17% to 18% growth over our very strong fiscal year 2017 performance. As I said, we remain confident in our ability to deliver on our commitment to grow our EPS by at least 10% each year for the future. For the fourth quarter of fiscal year 2018, our earnings per share guidance is $1.95 to $2, up 11% to 14% over last year. We continue to expect our capital expenditure to be in the range of $1.8 billion to $2 billion in fiscal year 2018. Now, please turn to slide 21. I've talked about this many times. I don't need to repeat that. And please turn now to slide number 23 (sic) [22] (31:25). You can see that we believe very strongly that our real competitive advantage is the degree of commitment and motivation of the great team that we have at Air Products. This is what allows us to continue to generate superior safety and operational performance. I do want to thank all of our 15,000 employees around the world for their total commitment and hard work, and I'm very proud to be part of this winning team. Now, we are delighted to answer your questions.
Operator: Thank you. And we will take our first question today from Bob Koort with Goldman Sachs. Please go ahead.
Robert Koort - Goldman Sachs & Co. LLC: Thanks very much. I was curious of the strength in affiliates. You mentioned that was a big part of the U.S. or the Americas business and I know its overall up nearly 40%. Can you give us some color on what's going on there? And then, maybe also, Seifi, when you were giving your capital allocation potential buckets, acquisition of gas assets, is the affiliates considered in that bucket? Thanks.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Bob, good morning. Thanks for your question. I'll answer your question number two first and make a comment on question number one and then turn it over to Scott to elaborate. On question number two, when we talk about the $15 billion of investment capacity, that does not include any acquisition or anything by our affiliates. That's just Air Products. Then, with respect to your question number one, we have always said that we see a strong economic activity in India, and that has obviously contributed to affiliates. And we had some obvious growth in Italy and Mexico, which are our big equity affiliates. But, Scott, would you like to expand on that, please?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Yeah. I'd just emphasize what you already said. It's broad-based, Bob. It's good fundamental business performance in Mexico, in Italy, in India, and actually some of our smaller ones in Asia as well. So, real good performance across the board this quarter from our equity affiliates.
Robert Koort - Goldman Sachs & Co. LLC: All right. Thanks guys.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Bob.
Operator: Next is Jeff Zekauskas with JPMorgan. Please go ahead.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. Your volumes in the Americas were up 6%, and your volumes in Americas have been pretty good through the first three quarters of the year. That is all of the numbers have been comparable. But your operating income has been pretty flat. I was wondering what's behind that in that your results versus your competitors seem to be – to show much slower growth in EBIT. And maybe to rephrase Bob's question, your equity affiliates income was $24 million in the Americas versus $14 million in the year ago. Is the $24 million number a new run rate or is there something unusual about that $24 million level?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Okay. Well, there is nothing unusual about the run rate, first of all, Jeff, so we expect our equity affiliates to do well. With respect to the Americas, we have an issue in terms of mix. That means that our volumes are up because we were selling more to customers who have a lower price basically. That is the fundamental reason why you don't (35:32) we are not particularly excited about that, but that is the explanation. Overall, Jeff, you know the business very well. Fundamentally, our prices is going to be the same as other people's prices. We are not going to fall behind on that, because if our prices are lower, we will get significantly higher volumes. But I'd just like to turn it over to Scott to expand on what I said.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thanks, Seifi. I just want to build – I think I made some comments in the prepared remarks. In Americas, just recall we have a very nice leadership position in hydrogen and we saw some maintenance planned turns. The team did a great job of executing those. But that's driving costs up year-on-year. So that's also a reason why you don't see the operating income growth consistent with the top line. Okay.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Okay, Jeff?
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Good. Thank you so much.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Thank you.
Operator: Next is Don Carson with Susquehanna Financial. Please go ahead.
Donald David Carson - Susquehanna Financial Group LLLP: Yes. Seifi, question on your capital allocation buckets. I notice that share repurchase continues to not be on that list. I'm just wondering, especially post Air Products not participating in any of the Praxair, Linde sales in Europe or the Americas, whether you've re-thought your approach to share repurchase.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: No, we have not. Because I mean, share repurchase obviously – what does it do for you? It artificially improves your EPS. We are taking the position that of the cash that we generate, we are giving half of that in dividend to the investors. So, it's not as if we are holding all the cash. So, half of that is going to a very generous dividend policy that we are saying we give 2.5% of stock price as dividend. The other half, we believe very strongly that we have opportunities to invest that capital on projects that we will create significantly more value for the shareholders than buying the shares back, so that is our position. That hasn't changed. And we do not see any change in the outlook for the deployment of the capital, so therefore that's where we are.
Donald David Carson - Susquehanna Financial Group LLLP: Okay. And then a follow-up, you noted that you had record EBITDA margins in the quarter. Are you now at an inflection point given the strong base business volume growth that the incremental loadings are generating very strong incremental margin? So, should we look for a continuation of this strong EBITDA margin performance?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, obviously, we are very pleased with the EBITDA margin for the quarter. But for the long term, we have always told the investors to, please, when you make models for Air Products that our EBITDA range is going to be somewhere between 33% to 36%. It's not going to go down and it will be within that range. Now, some quarters like this quarter, we had 36.3%. I hope it repeats every quarter, but I don't want to give the impression that our margins are now suddenly going to be several basis points higher than what our run rate has been for the last two quarters. And obviously, now our EBITDA margins are almost 300% better than the next people. Okay?
Donald David Carson - Susquehanna Financial Group LLLP: Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: We'll go to David Begleiter with Deutsche Bank.
David I. Begleiter - Deutsche Bank Securities, Inc.: Hi. Good morning.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Morning, David.
David I. Begleiter - Deutsche Bank Securities, Inc.: Seifi, on Americas pricing you said, so again, positive in the quarter, any acceleration versus prior quarters? You've announced a lot of price increases. And is that positive North American pricing up around 2% or more or less?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: It's about 2%. But the thing is that usually, we don't like to make too many comments about pricing. But we obviously fully understand that higher prices means higher profit. That's what our organization is focused on that. But we need to have a balance between what we can charge and what the supply-demand situation is. But our utilization rate in the U.S., please consider that it is still in the – around 77%, 78%. Now, in places that our utilization rate is above 80% like in China, we are getting significant price increases as you see.
David I. Begleiter - Deutsche Bank Securities, Inc.: And Seifi, on the $15 billion of capital deployment, thank you for the breakdown. If you did it by geography or by country, how would that break down roughly speaking in your best estimate?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, I mean, it's very difficult to kind of pinpoint that. But order of magnitude, obviously we would like to invest as much as we can in the U.S. But right now from what we see order of magnitude, probably about $2.5 billion will be in the Americas, about maybe $2.5 billion to $3 billion in Europe including Russia and then, the balance of it in Asia-Pacific because anything that we invest in India is really equity affiliate. It's not part of the numbers that I've given you.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you very much.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, sir.
Operator: And we'll now go to Duffy Fischer with Barclays. Please go ahead.
Duffy Fischer - Barclays Capital, Inc.: Yeah. Good morning, fellas.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning, Duffy.
Duffy Fischer - Barclays Capital, Inc.: First question is just on the India plant and its impact on the margins in EMEA. It sounded like you were negative 160 basis points year-over-year, but you said you would be up 100 bps without that. 260 bps of delta seems like a lot of influence from one plant. Can you just walk through the economics and why that's such a big hit to that region?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, since Simon was talking about Europe, I'll have him answer that. Go ahead, Simon.
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah. Thanks. Duffy, so two things to remember. First of all, this is a great project, very, very good returns on this project. But the natural gas prices are extremely high in India. I think they're in the range of $12 per million BTUs. So, you have a very large hydrogen plant, very high natural gas prices, so that has a pretty significant dilutive effect on the margins. And I think you've seen that over the last few quarters. We also, by the way, had some additional energy pass-through in Europe. And just one final point is, in Q4, we'll lap this, so you won't see a year-over-year delta next quarter.
Duffy Fischer - Barclays Capital, Inc.: Okay. Thank you. And then, just to go back to the buckets on the capital allocation, in the $7 billion that you called out as being large energy projects, how much of that would actually be coal gasification in China versus all other?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Duffy, I give more details and, obviously, the investors want even more details. We thought we have gone a long way by actually breaking down that, but out of the $7 billion, I expect approximately $5 billion will be in China.
Duffy Fischer - Barclays Capital, Inc.: Great. Thank you, guys.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Yeah. Thank you.
Operator: And we'll go to PJ Juvekar with Citi.
PJ Juvekar - Citigroup Global Markets, Inc.: Yes. Hi. Good morning, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Good morning. How are you, PJ?
PJ Juvekar - Citigroup Global Markets, Inc.: Good. So, what are margin utilization rates in Europe and Asia where you are seeing positive pricing? And how does that compare to Americas where pricing is still flat? I know you mentioned in the response to earlier question that in America you're selling with lower price – not lower price but lower-price customers. But can you just compare the utilization rates?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure. Our utilization rate in the Americas is around 77% to 78%. Utilization in Europe is around 80%. In China, the industry utilization is around 55% to 60%. But Air Products' utilization rate, because we haven't built a lot of merchant plants, our utilization rate in China right now is at around 82% to 84%. So, that is where we are, and you can obviously correlate pricing to the utilization rate. I mean, it's obvious if you're selling a commodity LOX/LIN, and that is totally subject to supply-demand.
PJ Juvekar - Citigroup Global Markets, Inc.: Great. Thank you for that. And you acquired Shell's coal gasification technology. Has that improved your competitiveness in bidding for coal gasification projects, and are there any projects outside of China that you are looking at?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: PJ, I cannot – now that the deal is closed, this has been a fantastic deal for us and it has created significant opportunities and we are seeing a lot of things that we didn't see before. So, I'm very happy with that acquisition. In addition to that, that has opened up significant opportunities outside of China. Yes, we are very pleased with the acquisition. It was the right thing to do. We have gotten a lot of very capable and very talented people. And that has given us – I think at the end, it will give us a significant competitive edge.
PJ Juvekar - Citigroup Global Markets, Inc.: Any particular regions outside of China?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Outside of China, it will be – it is places like Indonesia, Australia, Middle East, Europe, it's all over the place, and the United States. But please when I'm talking about Shell, I need to clarify. We bought two technologies from Shell. One is for coal gasification and the other one is for liquid gasification. The liquid gasification is also important because, PJ, as you know very well, a lot of the refineries need to upgrade their bottom of the barrel because of the IMO 2020. One of the ways to solve the problem of dealing with high-sulfur residue is rather than coking it, is to use that liquid and gasify it. That is what Saudi Arabia is doing with the Jazan Project, so that I think will open up opportunities for us because we own the Shell technology for liquid gasification.
PJ Juvekar - Citigroup Global Markets, Inc.: Great. Thank you for that explanation. Thanks.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, sir.
Operator: We'll go to Christopher Parkinson with Credit Suisse.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. Thank you. So, clearly, hydrogen appears to be the key driver of the positive momentum in volumes. Can you just hit on some other key end markets as well? Is anything surprising to the upside or downside versus your initial excitations at the beginning of the year? And then just also any long-term comments on your outlook for, you hit on this a little, on energy and then also environment? Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, thank you very much, Chris. In terms of the day-to-day things, obviously we are seeing economic development in the U.S., which is helping with the utilization rates a little bit, although it's not as robust as we hoped. But in China, the growth has not slowed down and we are growing very well there. In India, we don't consolidate, but the growth rates are very good. And quite frankly, as I think I've mentioned to you before in one-on-one, Europe has been a surprise on the positive side because quite frankly we thought that with the Brexit and all of that, that European economy will suffer. It has not. So as a result, it's not growing very fast, but it is tightening, and you can see that the pricing is improving there. So, those are overall the positive things. Then with respect to the very big projects, yes, we are very optimistic about that. There is significant activity with respect to big projects in China, and in Middle East, in Russia, in the U.S. So, we see a lot of so-called mega projects.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Great. And you've also been successful in establishing a portfolio which lends itself to the onsite utility type model. Can you just remind us of your longer-term goals in terms of projected earnings stability, just with any details or consideration for both the composition of your backlog and projected capital deployment? Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure, Chris. Obviously, if you go on my wish-list, I hope that five years from now 75% of our business is onsite. And I think that will probably happen with the way that we are deploying the capital. Our base business, merchant business and packaged gases business will continue to grow. We are not going more onsite at the expense of that business, but that business which is our liquid business and our packaged gases business, is going to grow with global GDP, 2%, 2.5%, 3%, 3.5% a year. But our ambitions are significantly higher than that. We want to grow the company by more than 10% as we have done in the past four years. That means that by default, although our base business is continuing to grow, our onsite businesses will grow faster. Therefore, when you put it all together, hopefully by 2023 75% of Air Products business will be onsite, which will be very stable and very profitable in terms of not only margins, but also in terms of return on capital employed.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thank you for your thoughts as always. Appreciate it.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll go to Stephen Byrne with Bank of America Merrill Lynch.
Stephen Byrne - Bank of America Merrill Lynch: Seifi, perhaps Simon pulled a fast one on you and changed the order of the slides and moved the Asia segment to be discussed first instead of last, but I suspect from your commentary about capital allocation by region that was intentional. Would you say in this five-year plan that could become your largest segment?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, first of all, I'd like to make a comment. I've just landed from a 14-hour overnight flight. And I just came to the office. So, I think you need to give me a little bit of a break for not mixing up Gases Americas and Gases Asia. But Simon had the slides in the right order but I just – when I was looking at it, I just said Gases Americas rather than Gases Asia. But right now when you look at our Americas business, I think we disclosed that. That's about a $4 billion business. Our Asia business is right now running at around $2.2 billion, $2.3 billion. With the capital deployment programs that we have, our Americas section will grow. But I think in five years, I don't expect Asia to be double in size, but it might, it might become our biggest region by 2023, 2024. And right now, we are – I mean if it grows with the kind of EBITDA margin that we have, which is 43%, that would be very good.
Stephen Byrne - Bank of America Merrill Lynch: Okay. And trust me, Seifi, that was just all in fun. But with respect to Asia and your outlook for coal gasification, obviously it's a strong market opportunity in terms of demand and you have technology. But would you also say that you – in the competitive bidding process, it's maybe a little less intense, particularly on bids that include the gasifier in addition to the air separation units?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: That is not the case. We just lost the big coal gasification project to one of our competitors. I obviously don't want to mention who it is. But if people are telling you they are not pursuing coal gasification in China, you should ask them again. Everybody is there. Everybody is eager to win a project. And as I said, last month, we lost a coal gasification project in China, in southern China, to one of our competitors who claims they are not that excited about China. So, everybody is there, my friend. When people look at these projects and the size and the profitability, they are not going to give us a break, they are following us where we are going.
Stephen Byrne - Bank of America Merrill Lynch: Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: Next is John Roberts with UBS.
John Roberts - UBS Securities LLC: Thank you. First, the question about pricing in Europe and then maybe a follow-up on the environmental CapEx allocation that you've got. In Europe, that record 3% price increase, I can't imagine that CO2 kind of contributed to that and I would think Praxair and Linde are not being that aggressive on price given they're in front of regulators. So, what's allowing you right now to achieve that kind of price versus in past periods?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, I would say good execution but, again, since Simon made comments about Europe, Simon, would you like to answer that?
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah. So, John, obviously we can't speak to what the competition is doing. The team is working hard on pricing in the Europe region and we did emphasize that we saw a lot of the strength in packaged gas here this past quarter. So, quite frankly, good job by the team.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: And from CO2 it was very little. Not significant.
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah.
John Roberts - UBS Securities LLC: On the $7 billion that you're going to put into energy environmental, obviously, environmental in the past with Tees Valley and some of the earlier projects, you're probably not headed down that path again, but what are you thinking about there when you say environmental?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: What we are talking about is projects that would help with solving environmental issues. The biggest thing that we are referring to is, number one, this IMO20 where people have to do something with the bottom of the barrel and the second thing that we are talking about is coal gasification which is a much more environmentally friendly of using the coal rather than burning it in a power plant to generate power.
John Roberts - UBS Securities LLC: Okay. So, you're including coal gasification when you say environmental.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Yes.
John Roberts - UBS Securities LLC: Okay. Got it. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: Next is John McNulty with BMO Capital Markets.
John P. McNulty - BMO Capital Markets (United States): Yeah. Good morning. Thanks for taking my question. With regard to the backlog, it seems like it's been kind of static here for, I guess, the last quarter or two. And I know you have a number of opportunities that you highlighted. I guess, at least in terms of where you think the capital is going to get deployed, I guess how are you thinking about the timing of when we may start hearing about some of these and getting the contracts to kind of the finish line? And I think you mentioned it in the beginning that you didn't see the tariff issues necessarily having any impact. And so, I guess, what's holding up some of the announcement on this or is it just simply a timing issue?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, John, you are putting me in a position that – especially my lawyer is sitting here and saying, don't make too many forward-looking statements here. But we are working, obviously, on a lot of projects. But quite frankly, John, this is a formal call. This is not a casual conversation. I'm the chairman of the company, and I'm saying that we feel very confident about deploying the capital. So, I can only say that if I see a backlog of projects that we are working on. Now, when are they going to come to fruition and when are we going to be able to announce them? I mean, I obviously can't predict that, but we definitely have a robust number of projects that we are definitely working on. No question.
John P. McNulty - BMO Capital Markets (United States): Fair enough. Thanks very much for the color.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, John.
Operator: And we'll go to Vincent Andrews with Morgan Stanley.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thank you and good morning, everyone. And Seifi, I hope you get some good sleep tonight. You're probably pretty tired.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Just looking at slide 24, the project slide, and I know you guys are out of the – telling us what the EPS contribution is from new projects. But you've got a bunch of stuff that's scheduled to come online in fiscal 2019. So, as we think about our models, if you can give us any update or any color sort of on first half, second half, second quarter, fourth quarter, just sort of any sense or dimension around the start-ups there.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, on that one, Andrew (sic) [Vincent] (57:33), one thing that we have said and we stand behind that is that we want to grow EPS at least 10%. So, you should expect that our guidance for 2019 will be 10% higher than 2018, I mean, unless the world falls apart. But other than that, in terms of the specifics, I think we are very specific in terms of the timing of these things. But to break it down by quarter, well, these are plants, new plants start up. The customer has to be ready and all of that. So, I would be a little bit hesitant to start pinpointing it by quarter. But overall, as I said, on overall basis, obviously we need the contribution of these projects in order to deliver the 10%.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: And, Simon, you'd like to...
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah. Just obviously, Vincent, Seifi again reminded us that we have made a specific comment around the Lu'An project and we'd expect that to deliver at least $0.25 next year. So, yeah.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Sure. Okay. Thank you. And just as a follow-up, there was something written during the quarter about a CO2 shortage in Europe. Doesn't seem like it was an issue within your results, but any comments there vis-à-vis your results?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, the reason is that we are not very big in CO2 in Europe. So, the whole event didn't have too much of an impact on us at all.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thank you very much.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And next is Kevin McCarthy with Vertical Research Partners.
Matthew DeYoe - Vertical Research Partners LLC: Good morning. This is Matt on for Kevin.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Yes. Hi, Matt.
Matthew DeYoe - Vertical Research Partners LLC: Hi. If we were to rewind to this time last year, the company was discussing the possibility of participating in remedy asset divestitures from Praxair-Linde, about like $1 billion in revenue. Since then, Messer and Nippon Sanso seemed to have secured the divested assets. But can you kind of walk through what were the primary reasons for why you ended up taking a pass on the businesses given just the capital deployment targets the company has?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: We didn't take a pass. The regulators decided to give us a pass. We would have – we've always said we were interested in that. But the regulators decided that we should go do other things.
Matthew DeYoe - Vertical Research Partners LLC: No, that's helpful. Thank you. And then I might have missed this, I was jumping around a little bit. But Gases – Global kind of showed a nice sequential uptick in EBIT despite the ongoing headwinds from the lower Jazan sales. What was behind the improvement there?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Simon?
Simon R. Moore - Air Products & Chemicals, Inc.: Yeah. And again, I would just point out that the technical term for Jazan is lumpy, so it just moves around a little bit especially sequentially.
Matthew DeYoe - Vertical Research Partners LLC: All right. Thanks, Simon.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Sure. Thank you.
Operator: We'll go to Jim Sheehan with SunTrust.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Morning. Could you remind us about what you're expecting from currency that's incorporated into the fourth quarter guidance?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Scott?
Michael Scott Crocco - Air Products & Chemicals, Inc.: Sure. Hi, Jim. How are you?
James Sheehan - SunTrust Robinson Humphrey, Inc.: Morning.
Michael Scott Crocco - Air Products & Chemicals, Inc.: So, year-to-date, we're at about $0.20 earnings per share versus prior year through three quarters. And our view, as always, is we just assume things kind of move sideways from where they are as we're closing the quarter. And so, if we look at that, we think it's going to be flat, maybe a modest headwind in our fourth quarter versus the prior year given where the currencies are now.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. And could you comment on which end markets you're seeing the most strength in besides refining?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Around the – we don't usually comment by markets, but overall, in the U.S. it's really most of the sectors, whether it is food, whether it is steel, whether it is – all of the other things. In China, it is obviously consumer demand for the products that we have around the world. So, it's a mix, it's not any very particular market that suddenly has started contributing to our bottom line. As you know, we have more than 60,000 customers around the world. So, we do not see any suddenly one sector growing 10%. It's just across the board and that's the good thing about our company because we have exposure to all of these businesses.
James Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you, Seifi.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we will go to Laurence Alexander with Jefferies.
Laurence Alexander - Jefferies LLC: A very quick one and given the end of the call is, can you characterize how your cash tax rate will evolve as your mix shifts around the world or as the types of project shift? But that seems to be affecting the conversion of EBITDA growth into distributable cash flow.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, that's a very good question. And since it's a difficult question, I'll give it to you, Scott, to answer.
Michael Scott Crocco - Air Products & Chemicals, Inc.: Yeah. Back to your comment around forward-looking statements, right, Seifi? So, if I just (01:02:46) again for this year in terms of a book for the fourth quarter, we're thinking about 20%, so we'll come in for the year in total a little bit above 19%. And then as we go forward from a cash tax perspective, obviously, we're focused on making more money in all parts of the world. About $400 million or so cash taxes for this year and early indications, you can assume roughly about the same for next year. Again, it depends on the amount, so that depends on the locations. I think in terms of a percent of cash taxes as a percent of pre-tax earnings, kind of the high-teens is what we would say going forward, a reasonable assumption at this point, okay?
Laurence Alexander - Jefferies LLC: Okay. Perfect. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you.
Operator: And we'll go to Mike Sison with KeyBanc.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Nice quarter.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Thank you, Mike.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Seifi, volumes have been pretty good this year and just wanted your general thoughts. Do you think this industrial economy is kind of at a pretty good level? Is it getting better when you think about heading into 2019?
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, right now, the way we see it, China is going to continue to be strong, we don't see any sign of a slowdown there. I hope Europe stays where it is, which means that although it's not growing very fast, it's not going down. And the U.S., obviously, it depends on the effect of the tax cut and all of that. But, right now, it looks okay. So, we continue to...
Michael J. Sison - KeyBanc Capital Markets, Inc.: And then one...
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Go ahead.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Well, just as a quick one on 2019, how much volume will come from projects coming on stream? I don't know if – I apologize if I missed that earlier.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, I can't give you an exact number on that because then you'll pretty quickly figure out what you should do next year. But overall, we usually don't give that number out, so if you excuse us for that. We don't like to break that down because then people can figure out exactly what the return on the projects are and all that. That will be...
Michael J. Sison - KeyBanc Capital Markets, Inc.: Okay. Thank you.
Seifollah Ghasemi - Air Products & Chemicals, Inc.: Well, thank you. With that, I think there are no more questions. And I just like to thank everybody again for being on the call. Thank you for taking time from your busy schedule to listen to our presentations. We very much appreciate your interest. And we look forward to discussing our results with you again next quarter. Have a great day and all the best. Thank you.
Operator: And thank you very much. That does conclude our conference for today. I'd like to thank everyone for your participation, and you may now disconnect.